Operator: Welcome to the DHI Group Incorporated Fourth Quarter 2019 Financial Results Conference Call. [Operator Instructions] I would now like to turn the conference over to Todd Kehrli, MKR Investor Relations. Please go ahead.
Todd Kehrli: Thank you, Operator, good afternoon and welcome to DHI Group's fourth quarter fiscal 2019 financial results conference call. With me on today's call are DHI's CEO, Art Zeile, and CFO, Kevin Bostick. Before I turn the call over to Art, I'd like to cover a few quick items. This afternoon, DHI issued a press release announcing its fourth quarter fiscal 2019 financial results. This release is available on the company's website at dhigroupinc.com. This call is being broadcast live over the Internet for all interested parties and the webcast will be archived on the Investor Relations page of the company's website. I want to remind everyone that during today's call, management will make forward-looking statements that involve risks and uncertainties. Please note that, except for the historical information, statements on today's call may constitute forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. When used, the words anticipate, believe, expect, intend, future and other similar expressions identify forward-looking statements. These forward-looking statements reflect DHI management's current views concerning future events and financial performance and are subject to risks and uncertainties, and actual results may differ materially from the outcomes contained in any forward-looking statements. Factors that could cause these forward-looking statements to differ from actual results include delays in development, marketing or sales and other risks and uncertainties discussed in the company's periodic reports on Form 10-K and 10-Q and other filings with the Securities and Exchange Commission. DHI undertakes no obligation to update or revise any forward-looking statements. Lastly, during today's call, management will be referring to specific financial measures, including adjusted revenues, adjusted EBITDA and adjusted EBITDA margin that are not prepared in accordance with U.S. GAAP. Information about and reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are available in our earnings release and in our website at dhigroupinc.com in the Investor Relations section. I'll now turn the call over to Art Zeile, CEO of DHI Group.
Art Zeile: Thank you, Todd. Good afternoon everyone and welcome to our fourth quarter and full year 2019 earnings conference call. We appreciate your interest in DHI. We made significant progress this past year in building a strong foundation for future revenue growth and the long-term success of the company. We delivered more product innovation in 2019 and the company had delivered in the prior five years combined and we intend to accelerate the pace of innovation in 2020, as the industry leader in the growing market for matching technologists with employers. We also strengthened our go-to-market strategy as our new Chief Revenue Officer, Arie Kanofsky added top-notch sales leadership to his team during the fourth quarter. While at the same time standing up new Dice commercial sales teams in Denver and New York. These investments and further strengthening our product offering and our go-to-market strategy position us well to generate sustained long-term revenue growth in the future. Now let me elaborate on some of the things we accomplished this past quarter and year. Let's start with the progress we made in our product offering. We closed out the year having delivered over 20 marquee product releases and dozens of minor releases in 2019, the taste of our product development is increasing in 2020 as a result of our investments in adding additional engineering talent as well as the transformation of the engineering team to a domain driven engineering model. For Dice, in the fourth quarter, we delivered multi-location search and completed an update of its application management workflow. During the quarter and we also completed the transition of all Dice clients to talent search 4.0, completing a customer migration that started in 2018. The complete makeover of the Dice client experience over the past year, including Intel search, candidate match, paper view pricing, job management, job search, job alerts, and now multi-location search are delivering improved Dice engagement metrics for both clients and candidates. Our eFinancialCareers marketplace capabilities continue to grow with thousands of messages sent between candidates, employers on our new messaging platform in the fourth quarter. Our eFinancialCareers messaging service allows recruiters and candidates to chat in real-time on the platform. During the quarter, we also launched an upgraded candidate profile on EFC with new fields for candidates to share career experience and goal information. These added features give candidates the ability to build their personal brand and gain trust on our platform. These features highlight the transition we are making from being a simple job board to becoming a dynamic marketplace for matching technologists and employers. Clearancejobs continues to take the wheel and driving new important capabilities. In the fourth quarter, Clearancejobs delivered new dashboards for both employers and candidates that provide insight into their profile performance, network reach and IntelliSearch-based recommendations to improve their connections. As I've stated in the past, Clearancejobs is our most robust product offering from both a user experience and feature perspective and it has generated solid double-digit revenue growth for many quarters. As such, we are taking the industry leading products features from Clearancejobs and implementing them in Dice and eFinancialCareers platforms. By creating more value for clients and candidates, we are building the foundation from which we can begin to accelerate revenue growth across all our brands. Looking ahead, we have a clear product roadmap in front of us for each of our platforms. We are working now to add recruiter profile and messaging to Dice and IntelliSearch and Candidate Match to eFinancialCareers. We expect those features to be live in the first half of this year. Clearancejobs has a number of features planned for 2020 to advance the Cleared Network with a focus on further automating recruiter workflow. We expect to launch favorites in the first quarter. This feature will allow clients to keep tabs on top candidate prospects receive alerts when they are active, engage when they are receptive to contact. Now let's talk about the significant progress we made this year in improving our go-to-market strategy. In 2019, we tested the concept of selling to customers who have their own internal recruiting programs to a new Dice commercial accounts team. We were extremely pleased with results and announced on our last earnings call that we would be significantly expanding this team. We also announced the hiring of a new Chief Revenue Officer to drive this go-to-market expansion. Arie Kanofsky joined DHI on October 23rd with demonstrated experience scaling high performance sales teams and a strong background in selling software products within the recruitment industry. While Arie has only been here a little over three months, he has already made a significant impact by adding top-notch sales leadership to his team and standing up new sales teams in two new geographies. Based on studies conducted with Burning Glass, we believe that there are tens of thousands of specific commercial targets for our product across tech and non-tech companies. We believe this market research demonstrates a significant growth opportunity for DHI. With this in mind, we added several new salespeople to our commercial accounts team in the fourth quarter, roughly tripling the size of this team. This new sales team will ramp over the course of 2020 and we are excited to see the results of their efforts. We believe we have a better tool than our competitors for companies that are hiring technologists and are confident that with our improved product offering and go-to-market strategy, we can grow our revenue at or above the market growth rate. Market research shows that the online recruiting industry is projected to grow 7% annually from 2018 to 2024. And in the tech professional subset is forecast to grow at a faster rate of approximately 12% annually. While this growth won't happen overnight, we are confident in our plan and continue to make significant progress. One of the things that gives us confidence looking ahead is that we continue to see our candidate registration and visible profile metrics improve as a result of our enhanced marketing programs. The heart of our value proposition is delivering high-quality candidates to our clients. In the fourth quarter, our digital marketing channels drove significant growth in new candidate activity with year-over-year increases in candidate registrations, which have led to an increase in visible profiles. The growth in visible profiles is significant because it's the first time in years that this metric has shown growth highlighting the growing trust candidates have in our platform. We are incredibly excited about the market opportunity in front of us. We believe the investments we had made in 2019 and will continue to make in 2020 are positioning DHI for long-term revenue growth as the industry leader. Last, but certainly not least, I'm pleased to introduce our new CFO, Kevin Bostick. Kevin joined us at the end of 2019. Kevin's demonstrated track record of leading companies through growth initiatives coupled with his strong history of delivering operational improvements will serve DHI well as we execute on our growth plan. I also want to thank Luc Gregoire who served as our CFO since November, 2016 for his immensely important financial leadership and overseeing the divestiture of our non-tech brands and building out a strong Investor Relations program. Luc served as a steady partner for me when I joined the company and I thank him for his many contributions. With that, let me turn the call over to Kevin who will take you through our financials and then we'll take any questions you may have. Kevin?
Kevin Bostick: Thank you, Art, and good afternoon everyone. Let me start by saying how excited I am to join the stellar management team at DHI. With our significant product innovation and improved go-to-market strategy, we are well positioned to address the large opportunity for growth ahead of us. I look forward to contributing to our success. With that, let's jump right into the quarterly results. For the fourth quarter, we reported total revenues of $37.7 million which was up 1% from the third quarter and down 1% year-over-year, when you exclude the impact of foreign exchange. Dice revenue was $23.3 million in the fourth quarter up 1% sequentially and down 3% year-over-year. We ended the fourth quarter with a little over 6,000 Dice recruitment package customers, which is down 1% sequentially and 3% year-over-year. While this overall number is down, I want to point out that almost all of those lost customers had annual recurring revenue of $5,000 or less per customer. By comparison during the quarter, we saw gains in larger contract size customers with both staffing and recruitment clients as well as commercial accounts. The growth in the number of large customers drove an increase in the average monthly revenue per recruitment package customer, which was up 1% year-over-year to $1,144 or approximately $13,700 on an annual basis. This is significant as over 90% of Dice revenue is recurring and comes from recruitment package customers. Our customer renewal rate was 70% for the fourth quarter up 3 percentage points year-over-year, and our revenue renewal rate was 81% up 2 two percentage points compared to the same period last year. Fourth quarter revenue for eFinancialCareers was $7.8 million down 4% from the third quarter and 6% year-over-year, when excluding the impact of foreign exchange rates. Prices again negatively impacted our performance for eFinancialCareers where we saw a slowdown in recruiting volume across the United Kingdom and European financial industry. The ongoing protests in Hong Kong also slowed down our contract in there. Clearancejobs fourth quarter revenue was $6.6 million, an increase of 5% sequentially and 16% year-over-year. This continued solid double-digit revenue growth year-over-year, which we have seen for several years now is reflective of CJ strong innovative products and competitive differentiation. Turning to operating expenses, fourth quarter operating expenses were $33.3 million representing a reduction of $2.3 million or 6% year-over-year. This was primarily driven by $2.1 million of consulting costs in the fourth quarter of 2018 associated with our cost savings project. The cost savings identified during that project are helping to fund the current ramp up of our sales and engineering capabilities. As Art mentioned, we are seeing excellent early traction from the Dice commercial accounts team. In addition to our new CRO, we added several new sales reps to this team during the fourth quarter. As a result, this will drive increased sales expense in the coming quarters. We also had additional engineering talent in the fourth quarter to accelerate the deployment of new product features, which will drive some increase in both product expense and capital expenditures in the coming quarters. Tax expense for the fourth quarter was approximately $700,000 resulting in an effective tax rate of 16% for the fourth quarter, which includes the benefit from certain discrete tax items. Our full year effective tax rate was 23% which was 2 percentage points lower than our expected rate of 25%. Net income for the fourth quarter was $3.5 million or $0.07 per diluted share compared to net income of $2.9 million or $0.06 cents per diluted share a year ago. This quarter's earnings per share had a $0.01 benefit from discrete tax items. Last year's earnings had a $0.01 detriment from disposition related and other costs partially offset by discrete tax items. Excluding those items on a normalized basis, EPS for the quarter was $0.06 versus $0.07 last year. Adjusted EBITDA margin for the fourth quarter was 23% up 1 percentage point from the same quarter last year. We generated $3.9 million of operating cash flow in the fourth quarter down $2.3 million from the prior year quarter driven by the timing of certain large vendor payments that occurred at the end of 2019. At the end of the quarter, our total debt was $10 million resulting in net debt of $4.6 million. Deferred revenue at the end of the quarter was $51.6 million down 8% from a year ago as a result of more flexible billing practices introduced over the past two years. When we add the unbilled portion of our contracts to deferred revenue, our committed contract backlog at the end of the quarter was up 8% from the end of the fourth quarter last year, which was primarily driven by the timing of closing contracts. As part of our share buyback program, we repurchased approximately 231,000 shares during the fourth quarter. This leaves roughly 5 million remaining of the current $7 million buyback program which runs through May 2020. We'll continue to opportunistically repurchase shares, but we'll also carefully evaluate our best use of cash and prioritize investing in our business. We continue to believe our buyback program is appropriate given our current valuation and is also can help offset the dilutive impact of stock-based compensation. Let's turn to our outlook for 2020. We expect the combined impact of both the new product features we are delivering and the investment in sales and marketing will drive improved performance and move revenue into positive year-over-year growth territory later this year for both DHI as a whole and the Dice brand. For eFinancialCareers, while there may be some stability in Europe from the recent U.K. elections we are being cautious and for the time being expect some geopolitical impact. For Clearancejobs, we expect continued strong growth going forward. Looking specifically at the first quarter of 2020, we expect year-over-year performance of total revenue to be similar to the Q4 2019 year-over-year performance. We expect macroeconomic headwinds to continue to impact EFC in the first quarter and the added concern of the Coronavirus has created more uncertainty, especially on our Hong Kong region. Throughout 2020, we expect our adjusted EBITDA margin to be 20% given our increased investment in engineering capacity and ramp up of our sales resources to accelerate revenue growth. We expect an increase to the current run rate of capital expenditures in the first quarter as a result of our investment in product and engineering head count. As a reminder, our capital expenditures are mostly made up of the capitalized portion of salaries of our development staff. To recap, the substantial changes we have made over the past year have helped stabilize our total revenues and with our ongoing investments in innovation in sales, we are building a stronger foundation upon which to grow. We are confident that our plan is putting us in the position to begin generating long-term revenue growth later this year. We remain focused on the continued execution of our business plan and look forward to reporting on our progress throughout the rest of 2020. And with that, let me turn the call back to Art.
Art Zeile: Thanks Kevin. I'd like to close by once again thanking our employees around the globe for their hard work this last quarter. It is a pleasure to be part of such a great team. With that, we're happy to take your questions.
Operator: Thank you. [Operator Instructions] And the first question will come from Kara Anderson with B. Riley FBR. Please go ahead.
Kara Anderson: Sure. Hi, good afternoon or evening for you guys. I just wanted to start by asking on the outlook. So if I sort of look at your top-line performance in the fourth quarter and then think about the first and second quarters of this year versus your expectations for growth and not really until the back half. Why really the implied deceleration from 4Q, was it all EFC or is there anything else to call out there?
Art Zeile: I would say that EFC presents the biggest headwind and challenge for us right now Kara. And specifically, as I explained in the past, we viewed EFC's APAC region to be a significant engine for growth at the beginning of 2019 that decelerated quite a bit as the year went forward and they experienced the protests and now the coronavirus. But I'd say it's fair to say that our biggest headwind is with EFC and the APAC region. As everybody is well aware there's also still a concern about what happens next with Brexit, but I'd say that we've seen a good amount of bookings activity in the back half of December, even post the Tory's successful election there. So we feel more confident about that particular region.
Kara Anderson: I guess if I could just follow up on that. Are you expecting any kind of change then from Dice, from the fourth quarter into the first half of the year?
Art Zeile: We're not forecasting any specific up tick in Dices performance per se in this first quarter. We looked at this as a quarter where we've tripled the size of the commercial accounts team starting at the beginning of the quarter, but they're still on a ramp to essentially become effective in attaining the right kind of performance to their quota plan. So again, I'd say there was no major change expected for Dice.
Kara Anderson: You kind of led me right into my next question. I just wanted you to go over the size of the commercial team, how that's tracking versus your initial expectation. Maybe my recollection is off, but seems like maybe you're growing more than you were anticipating. Maybe if you could just go over that for me, that'd be helpful.
Art Zeile: Sure. And from a historical perspective that might be useful to take a look at 2019. We initiated this team in February and we effectively went through a couple of changes of leadership over the course of the year. And we also were more segmented where now we have a commercial accounts team that focuses on new business gaining new customer relationships where and one that effectively focuses on renewal. So, we put the expansion of that team on hold in the third quarter as we were looking for a Chief Revenue Officer. I'm a big believer that the new Chief Revenue Officer has the right to format the team, the way that he believes it should be formatted and for the future health of the organization. And so Arie Kanofsky came on board in October, so roughly the beginning of the fourth quarter, he affirmed the strategy of expanding that team. We focused on the new business component of that team, roughly tripling it to around, I'd say 20 individual performers. And so that's again, only one part of the team because the team also consists of folks that focus on renewing existing relationships and then also part of the team that focuses on client success, but it's the part of the team that has the long-term revenue impact. They're effectively looking at this Burning Glass list of targets, looking at those particular customers that have the largest need. They have the largest number of open tech job postings and then approaching them saying that we have the right solution to find those individual technologists. And so again, we would expect that that team over the course of 2020, as they're ramping their training, as they're ramping their effectiveness, that they returned Dice to grow faster.
Kara Anderson: What is the typical ramp up period? I guess in one or maybe years forward?
Art Zeile: Well, we look at it as three to four quarters. That's the general timeframe.
Kara Anderson: Okay. And then the last question for me and I'll let someone else take some questions. On Clearancejobs, I think last year you were piloting about six government agencies. If I recall correctly, how are those going? And then if you know, if they're going well, are you close to any sort of contracts?
Art Zeile: I would say that we actually exceeded expectations for that pilot program where we have over a dozen pilots. As you probably know the government can't establish a contract when it was in continuing resolution, which luckily is no longer the case. We have a military and governmental budget. And so now we are engaging this first quarter and hope to have those pilots become long-term contracts. The contract cycle the sales cycle and the administrative logistics to get to a signed contract are obviously a little bit more lengthy when you deal with government agencies. But we think that it's fair to say that it's going to happen in the first or second quarter of this year that you're going to start to see those pilots convert.
Kara Anderson: Got it. Thank you very much.
Art Zeile: Thank you very much, Kara. I really appreciate it. Thanks for your questions as always.
Operator: [Operator Instructions] The next question comes from Josh Vogel with Sidoti. Please go ahead.
Josh Vogel: Thank you. Hi, Art and Kevin. Good afternoon. I guess my first question is, taking into account the investments in the sales team and product engineers and I guess given the generally tight labor market, I was curious if you are having a tough time finding the right personnel, notably when we think about engineers and maybe on a bit of a tangent, what are you doing to retain your top talent?
Art Zeile: Great questions. I can answer both those questions. I'll tell you that in the summer of 2019, our CTO, Paul Farnsworth put together a very thoughtful plan that would staff up teams based on domain expertise. And that's what we call domain driven engineering. And so each one of these subject matter teams has a requisite set of positions. They range from the tech lead to QA to senior and junior developers to a scrum master. There is a product manager that is always focused on effectively putting together the requirements that are being used by that team. So it's a big effort. We started in August and I'd say that we are two-thirds of the ways staffed for that expansion of our engineering efforts. And our HR team has done a wonderful job. Our VP of Talent and Recruiting is Jodi Addison and she made this her highest priority for the second half of 2019. And again, I look at it as a huge win that we're about two-thirds of the way through our hiring plan. Now, we do a lot to retain our talent, obviously in today's environment that is a key to success for any organization when the unemployment rate for the entire United States is at an all time low and effectively for the technology world is practically zero. So I think it comes down to having the right kind of culture, the right kind of mission, celebrating successes. All of those things are additive to making an environment that people want to grow their career in. In fact, another part of it is truly growing a career, we had over a 100 people that were promoted internally last year in a team of roughly 550. And I think people take notice and understand that there are real great opportunities here at DHI and we make those available to them. So thanks for the question Josh, because it's super important for the way that our team dynamic works.
Josh Vogel: Yes. And thank you for the insights on that. Looking at the guidance, the adjusted EBITDA guidance and thinking about the expected costs tied to these increase investments maybe this is more for Kevin. If you could just give us maybe a timeline of how this should play out as the year progresses. I mean, can we assume this is more first half driven and could we see a meaningful margin expansion back to that 20 to 23 range, we've seen as of late, especially as years -- year-over-year revenue turns positive.
Kevin Bostick: Yes. And as we stated, we are making the investment in engineering resources and in sales. When you think about the nature of our business, which is effectively a recurring revenue business, the additions every month of new business are additive, but they really start having, a bigger impact as you have multiple months of growth. And so we do expect us to start returning to some of the previous EBITDA margins as we exit the year. It might be tough to say an exact quarter-by-quarter analysis, but yes, we will start to see us trending towards those numbers towards the end of 2020.
Josh Vogel: Okay, great. And shifting gears a little bit, you had a comment about the number of subscribers were down a year-over-year and sequentially, but all those that we're no longer clients. They were, I think you said had about 5,000 annual revenue. I'm just curious how many of the 6,000 clients are at that 5,000 threshold.
Art Zeile: So let me take a crack at explaining how we look at our customer set and segment it, and then I'll hand it over to Kevin for the exact answer to that question. So big picture wise, we understand that different size customers act differently in terms of their churn characteristics. And we segment customers $5,000 from less per year 15,000 to 5,000, 30,000 to 15,000 and 30,000 and above. And we feel like those stratifications of our customer really do have different behaviors and different performance, especially when it comes to churn. We know that the 5,000 and under maybe trialing the use of the Dice platform and have only a certain set of needs and they go away because those ones are satisfied and they don't need to technologists, the next year or the next period. We also know that for example, in the staffing recruiting world, if we find a customer that is taking a $5,000 or less package that's probably a really small shop. We're talking about one or two recruiters and those customers are less stable to begin with and they might run into business problems. And that's the reason why the churn becomes evident for that particular [indiscernible]. But again, the way that I look at this is that it's healthy for us to see larger customers stay with us. It's healthier for us to engage with larger customers to begin with in the sales process. And I think that we're seeing that bear out by virtue or even just looking at the numerical average revenue per customer per month or per year. I will hand it over for additional comments from Kevin.
Kevin Bostick: Sorry. Yes, Josh, I'll need to get you that exact number. I don't have that in front of me, but I will get that for you.
Josh Vogel: Okay, no worries. Art, you had commentary about candidate registrations and just other visible metrics that have been improving. I'm curious, what are you doing to drive candidate acquisition anything new or different that you weren't doing a year ago or any planned initiatives for 2020?
Art Zeile: So for the purpose of our value proposition bringing new candidates to our site is incredibly important. I would say that it is the domain of both product and marketing, but a lot of our marketing effort is really focused on that. And we have seen a watershed and improvement in all of our marketing channels under the leadership of Michelle Marian, our Chief Marketing Officer. There are multitude of ways that we engage with candidates. One of those ways is that we have paid media, paid advertising on places like Facebook, which is pretty typical for a lot of different companies. But we also use affiliate networks. We also have search engine optimization, email campaigns a number of different channels. I would say the one channel that is really showing market improvement at the end of 2019 and moving into 2020 is what we call a CRM or our email marketing channel led by a gentleman named Tim Zee. And he has done a remarkable number of campaigns to test engagement with candidates and we've seen several of those campaigns become very successful. I think that's going to be a breakout channel for us in 2020.
Josh Vogel: All right. Thank you. I'll hop back in the queue.
Art Zeile: Absolutely. Well, thank you very much for the questions. Josh. Nice talking to you.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to the company for any closing remarks.
Todd Kehrli: Thank you, Operator. And thanks everyone for joining us today and thank you for your interest in DHI Group. To schedule a meeting with management, please email IR at dhigroupinc.com or call (212) 448-4181. Thanks for joining our call and have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.